Operator: Greetings and welcome to the Sify Technologies Limited Annual Results for the year 2014-2015. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Truc Nguyen, of Grayling. Please go ahead.
Truc Nguyen: Thank you, Melissa. I would like to send a warm welcome to all our participants on behalf of Sify Technologies Limited. I'm joined on the call today by Raju Vegesna, Chairman; Kamal Nath, Chief Executive Officer; and M. P. Vijay Kumar, Chief Financial Officer of Sify Technologies. Following our comments on the results, there will be an opportunity for questions. If you do not have a copy of our press release, please call Grayling at 646-284-9400 and we will have one emailed to you. Alternatively, you may obtain a copy of the release at the Investor Information Section on the Companys corporate website at www.sifycorp.com. A replay of todays call may be accessed by dialing in on the numbers provided in the press release or by accessing the webcast in the investor information section of the Sify corporate website. Some of the financial measures referred to during this call and in the earnings release may include non-GAAP measures. Sifys results for the year are according to the International Financial Reporting Standards or IFRS and will differ somewhat from the GAAP announcements made in previous years. A presentation of the most directly comparable financial measures calculated and presented in accordance with GAAP and a reconciliation of such non-GAAP measures and of the differences between such non-GAAP measures and the most comparable financial measures calculated and presented in accordance with GAAP will be made available on Sifys Website. Before we continue, I would like to point out that certain statements contained in the earnings release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time on the Companys SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of all risks and uncertainties inherent to the companys business. With that I would now like to introduce Mr. Raju Vegesna, Chairman of Sify Technologies Limited, Raju, it's yours.
Raju Vegesna: Thank you, Trúc. Good morning everyone. Thank you for joining us on the call. Over the years Sify Technologies has matured from being a provider of standalone services to becoming an active partner in the planning stage of client projects. This points to the maturity of our knowledge practices, client engagement across the entire IT life cycle, and the cost-effective solutions that we are able to bring to the table. With our entry into the North American market, we will leverage our success in building cost-effective, hybrid, and scalable IT solutions in India. We also actively pursue opportunities stemming from new digital transformation models, with a focus on remote infrastructure management and digital learning. Within India, we are seeing the early signs of renewed economic confidence, and we are well-positioned to benefit from an improved economic climate, given our successful delivery of client projects and penetration across the different enterprise segments. I will now ask Kamal Nath, our CEO, to expand on some of the business. Kamal?
Kamal Nath: Thank you, Raju. Financial Year 2014-2015 has been a significant year in our Sify 3.0 related transformation journey. While we continue to grow beyond industry standards in our Telecom business, we have gained significant traction in IT services portfolio which is led by Data Center Transformation Services and Managed Application Infrastructure Services. The market has also endorsed our position as a 3rd platform led IT Services Provider encompassing Data Centre, Network and Application Services resulting into multiple Total Outsourcing contracts being signed during the year. Our next phase of growth would be based on these successes and the portfolio augmentation around the 3rd platform. Let me spend some time on the business highlights for the past year. As far as the Telecom business is concerned our revenue from the data business grew more than 30% for the third year in a row. Voice business grew 11% over the previous year. Given the course of the year the business added more than 300 customers across all verticals. Key wins in the data business include one of Indias largest public sector bank, the public sector insurance company and a nationalized bank. Our focus on services under Sify 3.0 gained traction with contracts from global automobile company and an Indian automotive component manufacturer for wide area network outsourcing. This year the business achieved a major milestone by connecting more than 27,000 locations for the Department of Ports, Government of India. Coming to the Data Centre Services business, the Data Centre revenue grew by 5% compared to the previous year. We have expanded our capacity at our text-based data center at Navi Mumbai by building a dedicated EHD substation with a capacity to expand upto 50 megawatt. 52 new clients were acquired from across verticals including BFSI, IT-enabled services, retail and manufacturing; many of them hosting mission critical IT setups in our data center. The business was contracted to set up a large data center for one of Indias largest banking player. We have signed reseller agreement with one of the largest providers of managed IT cloud and recovery services to take our offerings to the customers across the globe. The business was confined to prestigious CIO Choice 2015 honor and recognition award for its suit of Integrated Data Centre solutions. Cloud and Managed Services; the Cloud and Managed Services business revenue grew 21% over the previous year, the business added 41 customers in the year; 12 of them for the newly launched data center transformation services. The business has also signed a multiple total outsourcing contracts where have migrated the client from second platform to third platform, thereby substantially lowering their cost of IT operations. We were awarded the best cloud storage deployment architecture by Hitachi Data systems this year. As far as Applications Integration Services view is concerned, revenue grew 4% compared to the previous year. The business has signed up 11 customers whose contract values are more than INR 100 million. In all over, 30 new clients were added for the year of which 10 new customers signed up for our Managed SAP Services offering. The business signed the first end-to-end SAP laid total outsourcing deal for a major CPG company in India. We have signed up our first core banking implementation project for a co-operative bank. We have also entered into the strategic partnership with a student lifecycle management solution provider and I have had four weeks in the last year for this service. Sify is also now a cloud service partner for Microsoft to support their offices in Sify products suite. Telecom Technology Integration Services business grew 69% over last year. The business added more than 100 new customers under networks integration, security, data center and communication services. Significant multi-year contracts were signed with public sector reinsurance companies and banks to build and manage their network infrastructure. The business has signed multiple managed security services contract under the FSI vertical. Business has also signed a multiple data center and disaster recovery infrastructure builds projects for public sector and government entities. I will now hand over to you Vijay, our CFO, to expand on the financial highlights for the year. Vijay?
Vijay Kumar: Thank you, Kamal, and good morning, everyone. I will now provide detailed financial results for the financial year 2014-2015. Revenue for the year ended March 31, 2015 was INR 12,864 million, an increase of approximately 23% over last year. Revenue for the quarter was INR 3,594 million, an increase of about 37% over the same quarter last year. EBITDA for the year was INR 2,005 million, an increase of 27% over last fiscal. Net Profit for the year was INR 389 million, an increase of 22% over last year. Capital expenditure during the year was INR 944 million and cash balance at the end of the year was INR 1,471 million. We are pleased to report over 20% growth in revenue amidst a business environment that can best be described as cautiously optimistic. We managed to hold steady on both revenue growth and cost management. We continue to weigh new investment options against emerging business opportunities to scale our business, while at the same time improving our current asset utilization. Net profit for this fiscal year has grown, but was did not keep pace with the comparably higher growth in revenue and EBITDA. This reflects the higher depreciation and financing costs, relating to our investments in capacity and increased working capital with the higher business volume. Based on the significant one-time investments we have made in the last two financial year, 2012-2013 and 2013-2014, it will be a little more time before we can fully monetize our investments, especially the data centers. However, our planned investments for 2015-2016 tends to be more incremental and directly linked to increases in volumes or new customer engagements. As I round off, I'm pleased to state that the Board has recommended a dividend of 10% subject to the shareholders approval. I will now hand you over to Chairman for his closing remarks. Chairman?
Raju Vegesna: Thank you, Vijay. Last year has been a price consolidated services which providers who offered the entire ecosystem, this enabled two things for us; one, which endorsed our status as a single window provider of IT solutions and services, thereby ensuring price or monetary about the site [ph]. It allowed us to compete our full scale IT transformation project, in several cases, our technical and cost competitiveness was the game. This year we will look further enforcing that stature. There are two success of a brand is how it can stay disclosed in the phase of adverse conditions towards that end Sify has proven that what it takes to be successful and enduring enterprise player. Thank you for joining us on the call. I will now hand over to the operator for any questions. Operator?
Operator: Thank you. [Operator Instructions] Thank you. At this time, I will turn back to management for additional comments. Our first question comes from the line of Alexander Peter, Private Investor. Please proceed with your question.
Alexander Peter: Hi, this is Alexander Peter. I just wanted to know like what are the future plans of entering the American and European markets where you see other IT players who are having about 50%, 60% revenue coming from this market. So we just wanted to have an idea on that. Thank you.
Raju Vegesna: This is Raju, you are right. So if we look at it, so far we're very much focused India player and that is very competitive market and a low priced market, they are very  we are like a company very successful and profitable. Now the market of North America and Europe is a very good opportunities for us, and as you know we started building a team last year and we are building the business opportunities and the funnel. As you go this year and major year, you are going to see the progress in this market, you are right, and lot of the IT companies  60%, 70% of it comes from these countries and we are aware of that and we are looking at how do we enter into that market and then we already know that market is already very crowded and we are looking at approaching this market where our sweet spot and where Sify kind of service provider game plays in this market, that is the way we are going to enter into that market.
Alexander Peter: Thank you, thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Mohan Raju with Airtel Limited. Please proceed with your question.
Mohan Raju: Hi, good morning everyone. First of all, very warm congratulations to the entire Board on 23% revenue growth and Sify has basically maintained the profitability in the competitors market. My question is specifically towards the opportunity of Internet of Things and the M2M space which is very fast in preparation as well as the government segment. So how Sify aligns today towards this and what are its future plans to tap that exponentially growing segment?
Raju Vegesna: Mohan, thank you, this is Raju again. So both internet processing and M2M will provide the opportunity for enterprise customers. As you look at Internet of Things, it's most of consumer place as you can take but ultimately the consumers using more Internet of Things and M2M, especially Internet of Things that produces lot of the data, and that data sustains in the cloud and the bandwidth requirements, both are opportunities for us in all the three segments having required more bandwidth, more connectivity on the networking side and more being the data is required to do the Internet of Things, that is helpful for our data centers and also our cloud platforms under storage especially. Same thing with M2M, making machines [ph] that gives you lot of automation in the technology, and with that automation, especially like if you're looking at a service desk or a helpdesk, all those things will be automated, that brings a lot of productive tool. I think both these technologies we are aware of it, and we are participating in lot of the initiative, and we are watching and how this can be beneficial for a company that has a service provider. So I think those technology is very helpful for our future growth.
Mohan Raju: Sure, thank you for that insight and I wish Sify all the best for a fantastic 2015-2016, and a successful revenue growth and net profit next year. Thank you.
Raju Vegesna: Thank you.
Operator: Thank you. Mr. Vegesna there are no further questions at this time. I'd like to turn the floor back to you for any final remarks.
Raju Vegesna: Thank you for everyone joining us on the call and we are looking forward to interacting with you in the coming quarter. Thank you and have a good day. Thank you. Bye, bye.
Operator: Thank you. This concludes todays teleconference. You may disconnect at this time.